Analysts : Paul Ridzon - KeyBanc Securities Leslie Rich - Columbia Management Michael Lapides - Goldman Sachs Bill Appicelli - Morgan Stanley Reza Hatefi - Decade Capital Nathan Judge - Atlantic Equities Dan Jenkins - State of Wisconsin Investment Board Jay Dobson - Wunderlich Securities
Operator: Thank you for holding ladies and gentlemen, and welcome to Wisconsin Energy’s conference call to review 2009 year end results. This conference is being recorded for rebroadcast, and all participants are in a listen-only mode at this time. Before the conference call begins, I will read the forward-looking language. All statements in this presentation, other than historical facts, are forward-looking statements that involve risks and uncertainties which are subject to change at any time. Such statements are based on management’s expectations at the time they are made. In addition to the assumptions and other factors referred to in connection with the statements, factors described in the company’s latest Form 10-K and subsequent reports filed with the Securities and Exchange Commission could cause actual results to differ materially from those contemplated. During the discussions, referenced earnings per share will be based on diluted earnings per share, unless otherwise noted. After the presentation, the conference will be open to analysts for questions-and-answers. In conjunction with this call, Wisconsin Energy has posted on its website, a package of detailed financial information on its 2009 year end results at www.wisconsinenergy.com. A replay of our remarks will be available approximately two hours after the conclusion of this call. Now, I would like to introduce Mr. Gale Klappa, Chairman of the Board, President and Chief Executive Officer of Wisconsin Energy Corporation.
Gale Klappa: Arlene, thank you. Good afternoon everyone. We appreciate you joining us on our conference call to review the company’s 2009 year end results. Let me begin as always by introducing the members of the Wisconsin Energy Management team who are here with me today. We have Rick Kuester, President and CEO of We Generation; Alan Leverett, our Chief Financial Officer; Jim Fleming, our venerable General Counsel; Jeff West, Treasurer; and Steve Dickson, Controller. Allen will of course review our financial results in detail in just a moment. As you saw from our news release this morning, we reported earnings from continuing operations of $3.20 a share for 2009. This compares with $3.03 a share for 2008. While we saw a significant decline in the sale of electricity, because of the recession and a very cool summer, our 2009 earnings were boosted by a full year’s contribution from our Power, the Future investments in the second generating unit at Port Washington, and the water intake system at Oak Creek, and by significant cost reductions across our business. Overall I’m very pleased with our financial and operational performance. From customer satisfaction to network reliability, to progress on our Power the Future plan, the company made great strides during the year, and in a tough economy, we posted solid financial results. Now I’d like to spend just a moment on our continuing effort to upgrade the energy infrastructure in Wisconsin. Our Power the Future plan is fundamental to the principle of energy self-sufficiency. Key components of our focus on self-sufficiency include investing in two combined cycle gas fired units at Port Washington, north of Milwaukee; the construction of two supercritical pulverized coal units at Oak Creek, which is south of the city; and building a significant amount of renewable generation. As we’ve discussed on our previous calls, both units at Port Washington are in service. Construction was completed on time and on budget. The units are among the most efficient in the Midwest market that are operating well, and our customers are now benefiting from the low price of natural gas that fuels these units. Let’s turn now to the status of the two new coal fired units at Oak Creek: I’m delighted to report that Unit 1 has passed all of its performance tests and was declared commercial today at a minute after midnight. The critical performance measures included an efficiency test, various emission tests, a capacity test, and a 15-day reliability run. I’d like to mention to you that the results of these tests are of particular note. The efficiency tests or what we call the heat rate test, measures the efficiency at which the unit converts fuel into electricity. The more efficient the unit, the less coal we have to burn, and therefore the lower the cost for each unit of electricity produced. For Unit 1 of the Oak Creek expansion, the demonstrated heat rate is 5% better than the guarantee, and places this unit among the best four or five coal fired plants in the country in terms of efficiency. With regard to emissions, we have been even more impressed by the plant’s initial performance. The recorded emission levels for each of the 15 pollutants measured at the stack were significantly lower than the levels allowed by our air permit. In many cases such as sulfur dioxide, particulate matter, and mercury, the levels were actually a fraction of that allowed. The guaranteed capacity as you know of each unit is 615 megawatts net. This means that the unit must be capable of delivering 615 megawatts into the transmission network. Well, during the testing, the output was measured at 622 megawatts, and we believe the unit can actually deliver significantly more than 622 megawatts, based on the extra margin available in both the boiler and the steam turbine generator. Of course time flies when you’re having fun, but we first announced our Power the Future plan ten years ago, to break Wisconsin’s dependence on expensive out of state energy, and to ensure a reliable supply of electricity to our customers in the decade ahead. With today’s announcement, we have take in a huge step towards completing the Power the Future plan. As you know, the new coal units at Oak Creek have been particularly challenging. Four of the project’s five major permits faced legal challenges, all of which have now been resolved. We had to battle two of the worst winters in history, including the ‘07, ‘08 winter, which saw the highest recorded snowfall in Milwaukee in 100 years, but with the focus and determination of Bechtel, and thousands of skilled craft workers, we were able to complete this first unit at Oak Creek within 120 hours of the revised guaranteed in-service date. As for Unit 2, I’m pleased to report that Bechtel continues to make good progress. Unit 2 is now approximately 87% complete, and Bechtel has started turning over the major systems from its construction group to its start-up team. The boiler and feed water systems have been successfully pressure tested in Unit 2, and the unit’s piping is now being chemically cleaned to prepare for first fire on gas. That’s the next major milestone, first fire on gas, and it’s scheduled for mid April. The turbine generator has been installed at Unit 2. It’s been aligned and enclosed, and the turbine bearing oil is currently being flushed in preparation for the turbine to be placed on the turning gear. Although the new guaranteed in-service date is November 28 for Unit 2, Bechtel is still targeting commercial operation by the end of August. Now as we reported to you in December, we have settled all claims with Bechtel that were raised in the arbitration proceeding. Through its claims, Bechtel was seeking additional construction costs of $517 million, and schedule relief of seven months and four months for the completion of Units 1 and 2 respectively. Our settlement includes the following elements: We agreed to pay Bechtel $72 million, including a $10 million payment that was made in December, and $62 million to be paid in six additional installments tied to the achievement of specific project milestones. As one of three co-owners, we are responsible for approximately 85% of the $72 million. Bechtel received 120 days of scheduled relief for Unit 1, and 60 days of scheduled relief of Unit 2. This extended the guaranteed turnover date for Unit 1 to January 27 of this year, and for Unit 2 till November 28, again of this year. Finally, Bechtel released us from all matters related to their claims in the arbitration, and in return we’ve released Bechtel from all matters related to our claims in the arbitration. As we move forward, we will continue to update you on the progress of Unit 2, as well as recovery of any costs that might be above the approved amount. Turning now to other important developments over the last few months; a bill containing an extensive set of policy recommendations, designed to reduce the emission of greenhouse gases was introduced in the Wisconsin legislature. The bill would establish statewide goals for carbon dioxide reductions, increase the requirements for generating electricity from renewable sources, and establish new efficiency targets across the state. First, the bill would strengthen Wisconsin’s existing renewable portfolio standard, by moving up the deadline for the 10% mandate from the year 2015 to 2013; and the bill would also set new goals of 20% renewable by 2020 and 25% by 2025. Next, the bill would set a state-wide goal to achieve a 2% reduction in energy usage by the year 2015 and annual reductions thereafter. The bill would also authorize the Wisconsin Commission to allow an investor owned utility to earn a return on capital that would be invested in energy conservation or efficiency equipment that would be installed on a customer’s premise. Finally, the bill proposes a number of changes to the regulation of nuclear power plants. One of those proposals would allow the Wisconsin Commission to approve a Certificate of Public Convenience and Necessity to build a new nuclear plant. The next steps include a series of public hearings that are set to take place between now and late February. We expect some form of the bill would then be considered by both houses of the Wisconsin legislature. Of course our renewable investment plans were designed to meet the standards that are currently in place in Wisconsin. These standards call for an increase in the amount of electricity we supply with renewable sources from 5% in 2010 to 10% in 2015 at a statewide level. The standard sets targets, as you may recall for each of the utilities using an historical baseline. Using that baseline, approximately 8.25% of our retail electricity sales must come from renewables in the year 2015. With the completion of our Blue Sky Greenfield Wind Farm in 2008, we took a major step toward meeting Wisconsin’s goals to reduce its carbon footprint. With a total of 88 turbines, each with a capacity of 1.65 megawatts, Blue Sky Greenfield is the largest wind farm to date in Wisconsin. It was completed under budget and ahead of schedule. Then in 2008, we purchased a new wind farm development site that’s approximately 45 miles northeast of Madison. The site was purchased from FPL Energy as part of our sale of the Point Beach Nuclear Plant. This site, which we call the Glacier Hills Wind Park, is an ideal location for our newest wind farm. Last week the Wisconsin Commission approved our request for a Certificate of Public Convenience and Necessity to build up to 90 wind turbines capable of producing between 135 and 207 megawatts, depending of course on the turbines we select. As part of the authorization, the Commission changed certain of the criteria, which could impact our ability to cite a few of the proposed turbines. The precise number of turbines therefore at Glacier Hills will be determined in the coming months, as we incorporate the commission’s citing requirements into the project design, but we’re pleased to be moving forward on what will certainly be a sizable new wind farm to help us meet the renewable mandate in Wisconsin. The first full year of operation for Glacier Hills is projected to be 2012. Our current estimate for capital costs for Glacier Hills ranges from $335 million to $414 million, again depending upon which turbines are selected. Our range of estimates does not include any AFUDC or reimbursable transmission costs. Last fall, we also announced our plans to build a 50 megawatt biomass fuel power plant at a paper mill site in northern Wisconsin. The paper mill is owned and operated by Domtar Corporation. The purchase of wood, waste wood, and saw dust will be managed by Domtar. We’re fortunate to be close to significant forest lands that can be harvested, and are being harvested in a sustainable manner. These forests have large amounts of wood waste that can be purchased to fuel the plant. Diversification of our renewable energy supply is one of our important goals. As compared to wind, the clear benefit from an operational standpoint is that we will be able to dispatch the biomass unit. Our gross investment in this biomass project is expected to be approximately $250 million, with a targeted in-service date in late 2013. With the potential investment tax credit of 30%, our net investment would be approximately $175 million. Our current plan is to file for construction authority with the Wisconsin Commission by the end of the first quarter of this year. Finally, we’re also considering approximately 12.5 megawatts of solar projects, with a targeted in-service date of 2013 for the initial investment. Of course, all of these projects are subject to commission review and approval. Construction is also underway on a major upgrade of the air quality controls for the existing coal fired units at Oak Creek. We plan to invest approximately $960 million. This is the second largest construction project in our company’s history, and that $960 million estimate includes allowance for funds used during construction, for the installation of a Wet Flue Gas Desulfurization, and selective catalytic reduction facilities. Expect these controls to be completed in the year 2012. Turning now to rate case developments; as I’m sure you’re aware, the Wisconsin Public Service Commission in December authorized adjustments to electric, natural gas, and steam rates for Wisconsin Electric and Wisconsin Gas. The Commission approved an increase of approximately $85.8 million or about 3.35% in retail electric rates for Wisconsin Electric. The Commission also approved a decrease of approximately $2 million or about a third of a percent for natural gas service for Wisconsin Electric, an increase of approximately $5.7 million or seven-tenth of a percent for natural gas service for Wisconsin Gas customers, and a decrease of about $400,000 or about 1.6% for Wisconsin Electric’s downtown Milwaukee steam utility, and a decrease of approximately $100,000 or a little less than 0.5% for our Milwaukee County steam operations. All of these rate adjustments were effective January 1, 2010. In addition, the Commission lowered the return on equity for Wisconsin Electric from 10.75% to 10.4% and for Wisconsin Gas from 10.75% to 10.5%. The capital structure of the utilities remains unchanged. The authorized common equity range for Wisconsin Electric is 48.5% to 53.5%, and for Wisconsin Gas, the equity range is 45% to 50%. In Michigan, on December 16 the Public Service Commission there approved our modified self-implementation plan, to raise electric rates in the state of Michigan by approximately $12 million or 9.5%, effective with the commercial operation of Unit 1 at the Oak Creek expansion. This rate increase is subject to refund with interest, depending upon the Michigan Commission’s final decision on the company’s $42 million annual rate request. We expect the Commission to issue its final order in July of this year. Last, but certainly not the least, in January our Board of Directors approved an increase in the annual dividend from $1.35 to $1.60 a share. Our dividend policy continues to target a pay out ratio of 40% to 45% of earnings for this year and for 2011, and starting in 2012, we’ll be targeting a 45% to 50% payout ratio. The first quarterly dividend for this year will be payable on March 1 at a rate of $0.40 a share. Now I’ll turn the call over to Allen, who will give you more details on our financial performance for 2009. Allen.
Allen Leverett: Thank you, Gale. As Gale mentioned earlier, our 2009 year end earnings from continuing operations were $3.20 a share. I will focus on operating income by segment, and then I’ll touch on other income statement items. I’ll also discuss cash flows for the year, and cover our earnings guidance for 2010. Now, our consolidated operating income in 2009 was $664 million as compared to $659 million in 2008, or a slight increase of $5 million. Operating income in our utility energy segment totaled $554 million, a decrease of $27 million versus 2008. As Gale mentioned earlier, our utility operations were hurt by lower sales of electricity. Our Management team worked hard to mitigate the decline in sales with strong cost control measures. Our operating income was approximately $66 million lower, because of a decline in retail electricity sales associated with the economy. In addition, we estimate that weather reduced our operating income by $30 million, primarily driven by the cooler summer. Depreciation expense was $12 million higher in our utility segment. Partially offsetting these unfavorable factors were favorable fuel recoveries of $19 million, reductions in our O&M costs totaling $38 million, and pricing increases totaling $17 million. The O&M reductions came across all areas of our company. We lowered staffing levels, and we reduced other controllable areas of spending. The net of these items, plus another $7 million in favorable variances brings us to the $27 million reduction in utility operating income. Operating income in the non-utility energy segment, which primarily includes We Power, was up $31 million. The key drivers of this increase were a full year’s earnings contribution from Unit 2 at Port Washington, which was placed into service in May of 2008, and earnings from the water in-take system at Oak Creek, which was placed into service in January 2009. Corporate and other affiliates had an operating loss of $10 million in 2009, compared to an operating loss of $11 million in 2008. In the future, we project to have only slight operating losses in this area, as we will have minimal business operations in this segment. Taking the changes for each of these segments brings you back to the $5 million increase in operating income for 2009. During 2009, earnings from our investment in the American Transmission Company increased by almost $7 million. Our total earnings from American Transmission Company were $59 million in 2009. Other income increased by $11 million primarily because of increased AFUDC and large utility construction projects, including the air quality control systems at our existing Oak Creek Plants. Net interest expense increased almost $3 million. Consolidated income tax expense increased by approximately $1 million because of higher pretax earnings partially offset by a lower effective tax rate. Our effective tax rate for 2009 was 36.6% compared to 37.7% in 2008. This decline was primarily a result of a greater level of wind and production tax credits. I expect that our effective tax rate in 2010 will be between 35% and 36%. Combining all of these items brings you to $377 million of net income from continuing operations for 2009 or earnings of $3.20 per share. During 2009, we generated $629 million of cash from operations on a GAAP basis, which is down $108 million from the same period in 2008. Now as we discussed on prior conference calls, during 2009, we contributed $289 million to our benefit trust, which is approximately $241 million greater than 2008. On an adjusted basis, our cash from operations totaled $821 million. The adjusted number includes the $192 million of cash impacts from the Point Beach bill credits. Now under GAAP, the cash from the bill credits is reflected as a change in restricted cash, which GAAP defines as an investing activity, but from a management standpoint, we consider this as a source of cash as it directly relates to the bill credits. Our total capital expenditures were approximately $818 million in 2009 about $550.1 million of this was dedicated to our utility business and $251 million was for the generating units being constructed as part of our Power the Future plan. This year, our total capital budget is approximately $950 million, $815 million of this is in our utility operations and about $135 million is for our Power the Future program. Of the $815 million in utility spending, nearly $100 million is for renewables and $300 million is for environmental related upgrades at our Power Plants. We also paid $158 million in common dividends in 2009 and we expect to pay $187 million in 2010. On a GAAP basis, our debt-to-capital ratio was 58.1% as of December 31 and we were at 55.2% on an adjusted basis. These ratios are slightly better than our December 31, 2008 levels. The adjusted amount treats half of our $500 million in hybrid securities as common equity, which is the approach used by the majority of the rating agencies. Our goal is to maintain our adjusted debt-to-capital ratio at no more than 60% during the period we’re constructing our new coal fired generation. We were using cash to satisfy any shares required for our 401(k) plan, options, and other programs. Going forward, we do not expect to issue any additional shares. Given the contribution that we made to our pension trust in 2009 and the trust returns of 15% in 2009, our pension plan was nearly fully funded at year end. So we do not plan on making a contribution to the pension trust this year. Going forward, we are assuming long term asset returns of 7.25%. I expect that our pension expense will be about $47 million this year as compared to $21 million in 2009. However, the increased pension expense was considered when our rates were set. Now, as shown in the earnings package we posted on our website this morning, our actual 2009 retail sales of electricity declined 8.1% as compared to sales in 2008. On a weather normalized basis, 2009 retail electric sales declined 7.1%. This is somewhat better than the 8.5% weather normalized decline we had forecast back in October of last year. Looking to 2010, we are forecasting essentially flat sales of electricity versus normalized 2009 levels. Underlying this flat overall sales outlook is a slight up tick in large commercial and industrial sales and some additional decline in sales to small commercial customers. We expect sales to residential customers to be flat on a weather normalized basis, and I’d add that the commercial and industrial sales outlook is consistent with the one included for purposes of rate making in our Wisconsin retail rate case last year. In December of last year, Wisconsin Electric issued $250 million of unsecured notes. The notes have a 4.25% coupon rate and a 10 year maturity. Looking to this year, we expect to complete the permanent debt financings for the two new units at Oak Creek. We also expect to reissue the $147 million of tax exempt bonds at the Wisconsin Electric level that we repurchased last year pending more favorable tax exempt rates. Also, we may do a Wisconsin Electric debt offering late this year. On a consolidated basis, we have approximately $1.6 billion of available undrawn credit facilities that expire in March and April of 2011. Now we anticipate renewing and resizing our credit facilities later this year. Our earnings guidance range remains the same as what we provided to you in December. We expect our earnings in 2010 to be in the range of $3.65 to $3.75 per share. Underlying this range was the assumption that the first unit at Oak Creek would go into service in mid-January and that the second unit would be placed into service at the end of August. The schedule for unit one slipped by a couple of weeks, but we’re still comfortable with our guidance range of $3.65 to $3.75 per share. Just for reference, we estimate that a one month move in the in service date for unit two would change earnings by about $0.02 per share. The earnings contribution from our utility segment, which includes Wisconsin Electric and Wisconsin Gas, was $2.53 per share in 2009. Average rate base for the combined utilities was about $5.3 billion in 2009, and we essentially earned our allowed rate of return on equity of 10.75% in 2009. Now looking to this year, combined rate base is expected to grow to $5.8 billion. However, we believe that our earned rate of return on equity will be about 10% in 2010. This would reduce the earnings contribution of the utility segment to $2.51 per share in 2010. Three key items are expected to drive the roughly 40 basis point differential between the 10.4% allowed return on equity and the projected 10% earned return on equity. The first is electric fuel recovery. We currently estimate we’ll under recover our fuel cost by between $10 million and $15 million this year. Next is the timing of rate recovery in Michigan. We did receive an interim increase there that we are implementing in conjunction with the commercial operation of unit one at Oak Creek. However, we do not expect our full request to be acted on until the middle of this year. Finally, although the Wisconsin Commission accepted our electric sales forecast for the commercial and industrial classes, they did not reflect our residential forecast when they set rates. On weather normalized basis, our outlook for residential sales in 2010 is flat. The Commission assumed that residential sales would grow by 1.6%. Of course, actual costs and sales will impact our return, but at this point our best estimate is about a 10% earned return on equity for the utilities segment in 2010. We expect the earnings contribution from our investment in the American Transmission Company to grow from $0.30 per share in 2009 to $0.32 per share this year. Moving to We Power, which includes the units at Port Washington as well as units in Oak Creek we expect the earnings contribution from We Power to increase from $0.42 per share in 2009 to $1.04 per share this year. Note that in order to be consistent with a basis for presentation we’ve used in the past, this includes an allocation of holding company interest to We Power and does not include any impact of capitalized interest. Finally, moving to the holding company, we expect that the earnings reduction from unallocated holding company debt will increase from $0.05 to $0.17 per share. This is being driven by the fact that as the units at Oak Creek go into service, we will not be able to capitalize as much interest in 2010 as we did in 2009. So to review, starting from the $3.20 per share that we earned in 2009, utility earnings were expected to decline $0.02 per share, which is offset by $0.02 per share increase at ATC. We expect We Power to add $0.62 per share and holding company interest to reduce earnings $0.12 per share. Adding these changes together brings you from the actual base of earnings of $3.20 per share in 2009 to $3.70 of share, which is the midpoint of our guidance range for this year. I would also like to provide some input on our expectations for earnings in the first quarter. The earnings contribution from We Power is expected to be higher now that Unit 1 at Oak Creek is in service. However, our utility earnings will be impacted by weather and fuel recoveries. In the first quarter of 2009, we had cold weather as well as $28 million in favorable electric fuel recoveries. Weather in the first quarter is uncertain, but we project that the swing in fuel recoveries alone will result in $0.15 to $0.17 per share reduction in earnings in the first quarter of 2010 as compared to the first quarter of 2009. As a result, we would expect first quarter 2010 earnings to be below first quarter 2009 earnings. However, our annual earnings guidance range for 2010 is $3.65 to $3.75 per share, which represents a significant amount of growth as compared to our $3.20 per share result in 2009. So with that, I’ll turn things back over to Gale.
Gale Klappa: Allen, thank you very much. Overall, we’re on track and focused on delivering value for our customers and our stockholders. I think we’re now waiting for the operator to move into the question-and-answer session.
Operator: (Operator Instructions) Your first question comes from Paul Ridzon - KeyBanc Securities.
Paul Ridzon - KeyBanc Securities: I didn’t hear, when you mention about the ‘11 outlook. I was wondering if you still endorse the $4 number that’s out there.
Gale Klappa: I think we’ve said over the last few months that conceptually our aspiration would be roughly $4 a share in earnings for 2011, and right now we don’t see anything that would change that aspiration.
Paul Ridzon - KeyBanc Securities: Any update on potential legislation to get rid of this pesky fuel over or under recovery that plagued us every quarter?
Gale Klappa: In fact a bill is in the legislature right now. The bill passed unanimously in an assembly committee, the relevant assembly committee that has jurisdiction over this type of thing, passed just really within the last two weeks. The bill is now awaiting a floor vote in the assembly. I think the only question we would have is whether or not the legislature, given its calendar, whether the Senate would have time to act on the bill. So it’s moving. It’s moving at a Glacier pace, but there’s an appropriate change now being considered by the legislature.
Paul Ridzon - KeyBanc Securities: You can just review what the bill would do?
Gale Klappa: Essentially, what the bill would be to set a fuel baseline, each utility in the State of Wisconsin would project its fuel costs for the upcoming year, and it would file that projection with the Wisconsin Public Service Commission in the fall of the prior year. So let’s say for example, if the bill were in effect now, this coming fall we would file our expected fuel cost for the year 2011. The Commission would then set a fuel rate, the Commission would have a mini hearing, would set a fuel rate beginning January 1 of 2011, which would obviously significantly reduce the lag if we were under recovering and would also reduce any over recovery and would make it much, much more streamlined for there to eliminate these wild swings of fuel under and over recovery.
Operator: Your next question comes from Leslie Rich - Columbia Management.
Leslie Rich - Columbia Management: On the Glacier Hills project, could you refresh my memory and tell me what the procedural schedule is at this point now that you have the Certificate of Public Convenience?
Gale Klappa: Actually, there’s no more procedural schedule left at the Commission. That was the key vote and we’re now moving toward basically to begin fieldwork.
Leslie Rich - Columbia Management: So then the timing, do you have to get sitting done?
Gale Klappa: No. It’s all done. We have all of the arrangements we need and we have the final approval from the Wisconsin Commission. Rick.
Rick Kuester: Yes, the only thing we need to do is work out based on some guidelines the Commission gave us we need to work out the final turbine sitting and we would expect to do that in the next couple of months, a little bit of work to do with landowners there, but we’ve got all of our permits and we’re ready to go in the field and we do foundations this year, and erection next year and the first full year of commercial operation would be 2012.
Leslie Rich - Columbia Management: So when do you think you’ll nail down what the scope of the project is in terms of size and CapEx?
Rick Kuester: We said up to 90 turbines, my guess is we’ll be between 80 and 90 at the end of the day, and we will nail that down, I would think, by mid March.
Allen Leverett: Leslie, this is Allen. What we’ve assumed sort of in our base financial plan is about a $367 million investment. So roughly in the middle of the range that Gale talked about.
Operator: Your next question comes from Michael Lapides - Goldman Sachs.
Michael Lapides - Goldman Sachs: In the rate case filing, you had to disclose I think what your planned CapEx for WEPCO and Wisconsin Gas would be for 2011 as well, if I remember correctly. Can you refresh our memories in terms of what you filed in that case kind of the level of CapEx expected at those two subs in that year?
Gale Klappa: We are going back through our luminous pages that we have in here to give you a more precise number.
Allen Leverett: I guess if you talk about it for the regulated business in total, so I think you’re interested in 2011, Michael. I would say for the regulated business in total, it’s about $1 billion.
Michael Lapides - Goldman Sachs: Outside of the regulated business besides maintenance CapEx on Oak Creek, what do you expect to have left in Port Washington?
Allen Leverett: There’s only about I would say in the range of $10 million to $15 million in what I would call Power the Future. So essentially all of the spending that we would be looking at in 2011 is at the regulated entities and it’s about $1 billion.
Gale Klappa: Michael, what’s driving that number is 2011 will be our peak year of spending. This year and next will be our peak year of spending on those major air quality upgrades that we talked about at the existing Oak Creek units and remember that’s a $960 million-ish project. It’s a very large project.
Michael Lapides - Goldman Sachs: How much of that have you done today or as of the end of 2009?
Gale Klappa: Rick and I were just looking at those numbers, the total project, including engineering, procurement, and construction, Rick, roughly 25%?
Rick Kuester: I’d say about 20% construction completed right now, probably construction complete around 60% by the end of this year.
Michael Lapides - Goldman Sachs: O&M, how recurring or how sustainable do you view the O&M cost savings, which you’ve realized during this year?
Gale Klappa: Let me frame the answer, and then Allen can give you some precise numbers, but the honest answer is some of the cost savings we achieved in 2009 will never come back because they’re permanent productivity gains. However, having said that, we are going to see an increase in operation and maintenance expenses in 2010 compared to 2009 because we have a very different company this year. With this morning with the commercial operation of the first expansion unit at Oak Creek, we’re going to be purchasing ammonia. We’re going to be purchasing limestone. We have staffing of 180 full time people to operate the unit. So we have significant cost increases coming from the operation of the new investments. Allen.
Allen Leverett: Just to maybe put numbers around that, Michael. I mean if you look at those in our generation business and you look at the increase in O&M, that’s about a $50 million increase in O&M and that was reflected in the Wisconsin case and we also have about a $38 million projected increase in benefit cost, and that was also reflected in Wisconsin rate making. So that’s being driven by earning below the actuarially assumed rates of return in past years, so back in 2008 and then lowering the expected return on assets going forward. So as Gale mentioned, there were a couple of new items that are increasing O&M, but that was built into rates in Wisconsin and we’re seeking to build all that into rates in Michigan as we go through that process.
Operator: Your next question comes from Bill Appicelli - Morgan Stanley.
Bill Appicelli - Morgan Stanley: Just quickly on the legislation you are discussing earlier about the potential changes to the RPS in Wisconsin, how do you view that and how does that impact your ability to invest in renewables over the next three to five years?
Gale Klappa: In terms of the next three to five years, I don’t see a lot of change from the legislation, and the reason I don’t is obviously we are putting in place in our pipeline our plan to get to the current 2015 standard. The big change would be going from 10% renewables in 2015 to 25% renewables by 2025. That’s a very sizable leap, if you will, and would require significant additional investment in several types of renewables, plus probably some purchase power agreements with wind developers. So if anything, the center piece of the legislation, which is a strong goal of this governor’s which is 25/25 would it in essence enhance our investment opportunity post 20/15.
Bill Appicelli - Morgan Stanley: Where do things stand in terms of the legislative process with this right now?
Gale Klappa: As I mentioned to you, this is a large, fairly complicated bill. It was just introduced a month or so ago. The first hearing in the first committee was held last Thursday, and there will have to be hearings in both houses of the legislature. The first hearing, as I said, was just held last Thursday. I’m not sure if the second hearing date has actually been established yet. They were hoping to get hearings done by the end of February.
Operator: Your next question comes from Reza Hatefi - Decade Capital.
Reza Hatefi - Decade Capital: A couple of clarification questions, Allen, you mentioned CapEx for 2011 is $1 billion. I think you said 2010 is $815 million. Can you give us 2012 CapEx?
Allen Leverett: In terms of 2010, remember the total would be about $951 million and so roughly $815 million of that would be in the regulated business and the rest would be Power the Future and if you look to 2011, about $1 billion in the regulated business, another $15 million outside for about $1.015 billion, and I think your question then goes to 2012. I would say that the regulated business expenditures probably in the neighborhood of $800 million, depending on what happens with some of these renewable projects down the road, and something in the neighborhood of $25 million outside, so call it around $830 million in 2012 in total.
Reza Hatefi - Decade Capital: Yes, it does and these gross CapEx numbers, do those include your portion of ATC CapEx or not?
Allen Leverett: No, so to the extent that we would make and of course any capital contributions, that would be equity that we would invest in ATC, they’re able to raise debt at their own level. So I would imagine that we would make some small capital contributions to ATC, but their cash flow is so strong at their level and their ability to raise debt given the combination of strong internal cash flow and their ability to raise debt, I really see very little going in terms of incremental capital contributions to ATC over the next couple years.
Reza Hatefi - Decade Capital: What is your expected pro rata portion of ATC rate base in 2010?
Allen Leverett: Well, we own about a quarter of the company. I think we own precisely 26.2% of the company. I believe that their capital budget this year is around $400 million. So they have a little bit of appreciation, but in effect that would be like a $100 million worth of rate base growth, but they have a little bit of depreciation right now.
Reza Hatefi - Decade Capital: What is the overall rate base of ATC right now?
Allen Leverett: I would say it’s probably in the neighborhood of $2.2 billion.
Reza Hatefi - Decade Capital: So you own about 26% or so of that roughly speaking?
Allen Leverett: That’s right.
Reza Hatefi - Decade Capital: Then you mentioned some rate base figures earlier. Could you repeat those and also could you break them down between utilities, whether it’s WEPCO or Wisconsin Gas?
Allen Leverett: Yes, let me just go back and review those. I talked about the average in 2009, and so that’s about $5.3 billion and that breaks down raise it’s about $750 million at Wisconsin Gas, and the balance would be at Wisconsin Electric, so about $4.6 at Wisconsin Electric and about $750 million at Wisconsin Gas. So that’s your ‘09 average, and then if you look to 2010, you recall I said the total was $5.8 billion. I would see about$800 million of that being at Wisconsin Gas or thereabouts and then the rest or $5 billion being at Wisconsin Electric.
Gale Klappa: Thank you, Reza. One of the things that Allen is pointing to as he went through the capital spending numbers over the course of the next few years, and I’m not sure everyone has recognized, is the significant additional investment that we’ll be making both in the air quality controls at the existing Oak Creek units and in the renewable projects we need to meet the state mandate and that will give us a very significant additional leg of growth post the Power the Future plan, and I just wanted to remind everyone of that.
Operator: Your next question comes from Nathan Judge - Atlantic Equities.
Nathan Judge - Atlantic Equities: Just wanted to flush out the comment on 1.5% customer growth could you just give us a little bit of insight on where you’re seeing growth and how that’s breaking out by customer class?
Gale Klappa: Nathan, I hope we didn’t mislead you. We really were not talking about 1.5% customer growth. What we were really talking about is if you look at actual electric sales to retail customers in 2009 and then you say, well weather normalized, what we expect for 2010, it’s really 1% to 1.5% growth. In terms of customer growth, we grew about three tense of 1% in the number of customers we’re serving during 2009, and actually while that sounds like very small growth and it is, compared to what we’ve historically seen, which has been about 1% to 1.25% customer growth as you know many utilities actually had their customer base shrink in 2009 and I think the fact that our customer base continued to grow, albeit slowly, is another significant sign of the relative strength of the Wisconsin economy. The economy here has been hurt like every other state, but unemployment is better than the national average. Certainly housing delinquencies have held up better than the national average. Delinquency rates are better than the national average, and we’re continuing to see some modest customer growth and a lot of that customer growth came from residential very little industrial growth obviously during the recession, small bit of commercial growth, but of the 0.3% of growth in the number of customers, most of that came from the residential side.
Nathan Judge - Atlantic Equities: So to clarify then, you were specifically speaking about usage of 1.5% growths and…?
Gale Klappa: 1% to 1.5%.
Nathan Judge - Atlantic Equities: If you were to break that down, some clarity on where that’s coming from?
Allen Leverett: Nathan, on page 12 of the earnings release package.
Gale Klappa: We’ve got it all broken down for you, but if you don’t have that in front of you, forecast 2010 versus actual 2009 and again that’s, just to be completely clear, forecast 2010 sales versus actual ‘09, we would see about a 4% growth in residential, actually a small decline about 2.4% in small commercial and industrial, a 2.1% increase in large commercial and industrial, and then overall retail about 1.2%.
Nathan Judge - Atlantic Equities: As a separate question, when you look across the Midwest and perhaps more of the windy areas of the country, were they are removed, but in your area…?
Gale Klappa: Nathan, are you including Washington D.C?
Nathan Judge - Atlantic Equities: There’s discussion of difficult times for renewable energy providers, and I guess I’m going to ask the question, would you be interested acquiring any assets instead of building?
Gale Klappa: The honest answer is we never say, never and if there was a renewable opportunity that fit into our portfolio and was deliverable in terms of the actual energy supply into the State of Wisconsin, we would certainly look at that, no question about that, but we’re not counting on that.
Nathan Judge - Atlantic Equities: Is the environment more susceptible or more advantageous for you to do such a thing, or is it just steady state and that’s really not an option?
Gale Klappa: There’s no near term option that we’re aware of at the moment that we haven’t looked at and found some flaw with. So I would say at the moment steady state, but we’re always on the lookout for an appropriate opportunity.
Nathan Judge - Atlantic Equities: Then just finally, clearly the EPA is talking about a lot of various proposed rules this year and over the next several years. Just generally, do you have a view on what’s going to happen at the EPA and what’s coming out? Also is there any additional current resisting generation that you have that potentially could be at risk that may need to be replaced?
Gale Klappa: In terms of my view of the EPA and what they might be doing next, I was in a session about three our four weeks ago, both Rick Kuester and I were in a session three or four weeks ago with Lisa Jackson, who is the current Administrator of the Environmental Protection Agency and right now, one of her main areas of focus obviously is getting proposed regulations out the door which would follow on the EPA’s decision to determine that CO2 is a harmful pollutant. Now these would take the form of proposed regulations. They would be open for comment, and I think she and everyone else believes that these proposed regulations once they would go through the comment period and become effective are headed for a very long court challenge. I don’t think there’s any question about that. So on the regulatory front I think we will see some action. The real key is what would, EPA determine is the best available control technology for a fossil fueled plant that obviously emits CO2, since there is no widely acceptable or commercially widely available technology for CO2 capture today and she seems very cognizant of that problem and that issue. So it will be very interesting to see how the regulations unfold, but regardless of how they unfold, I think the industry and the EPA and other industries are in for a very long court fight.
Rick Kuester: One other thing I might just add is we’re in pretty good shape. We proactively approached EPA back in 2002 and signed a consent decree and we’ve been installing air quality control equipment on our units, Pleasant Prairie, now South Oak Creek, we retired old units in Port Washington and put gas fired units. So I would say overall as far as our fleet for non-CO2, for example SO2 or NOx, we are in pretty good shape. I think we’re somewhat ahead of the curve.
Gale Klappa: Rick is making a very good point. If you look at 2010, which would be the end of our major Power the Future construction and the units that we have in place and operating this year, and you dial the clock back to the early 2000s, we will have reduced the traditional pollutants, sulfur dioxide, nitrogen oxide, mercury. We will have reduced those pollutants by more than 65% on our system. So we are in very good shape in terms of the traditional pollutants, and I think that would mean certainly for the foreseeable future we don’t have any significant units at risk.
Operator: Your next question comes from Dan Jenkins - State of Wisconsin Investment Board.
Dan Jenkins - State of Wisconsin Investment Board: I have a couple questions. First related to the Oak Creek unit and the testing you did there and so forth. Given that, where do you expect that plant to fall in the dispatch curve of the region? Will it be like top decile, top quartile, how should we think about that?
Gale Klappa: I’m not sure we’ve measured exactly whether it’s top decile or top quartile, but even with the downturn in the economy and lower energy usage across the Midwest, certainly this unit will dispatch way more than 50% of the time even in the early going. So it really will be one of the more efficient contributors in MISO and that means, as you know, Dan, that it will be displacing less cost effective energy and in many cases energy that brings with it more pollution than this unit, which is going to be one of the cleanest coal fired power plants anywhere in the world.
Dan Jenkins - State of Wisconsin Investment Board: Related to that, have you projected or do you expect anymore wholesale or sale for resale in 2010 given the new plants that you have?
Rick Kuester: We have some internal objectives to basically add to our wholesale power business, both on a shorter term and longer term basis. So I think there will be some opportunity to add to our wholesale power customer base, if you will, and we’re actively pursuing that.
Allen Leverett: Our fuel case submitted last year, the Commission has opportunity sales and reflecting additional energy available out of those units. So we’re looking at basically deals that we can sign for a little bit longer term if the market is there, but obviously there are opportunities for sales in MISO that are baked into the forecast.
Gale Klappa: Dan, to that point, it’s not just Oak Creek. Our new units at Port Washington, those combined cycle gas units we have there are about as efficient, I don’t think there’s a more efficient combined cycle gas unit in the Midwest.
Rick Kuester: It’s among the most.
Dan Jenkins - State of Wisconsin Investment Board: I was wondering if you could give a little more color on your sales forecast, why you think that the small commercial industrial will continue to decline whereas the large is expected to pick up, are you seeing anything in particular there that’s driving that forecast?
Allen Leverett: Dan, this is Allen. Let me just sort of briefly talk about residential, commercial, and industrial. We talked about a flat outlook for residential. So flat is in weather normalized terms. So you weather normalize 2009 and then you look at 2010 forecast, so the key driver that we see for residential is Wisconsin housing stock and we’re assuming that there will be essentially no growth in Wisconsin housing stock in 2010 as compared to 2009. So that’s what’s really driving the flat weather normalized outlook for residential. If you look at commercial, really what we see as being the key forecast driver for commercial sales is the level of employment, absolute level of employment, and we really believe that employment in 2010 is going to be even below 2009 levels. We think employment is going to decline about another 1.5%. So that’s what’s driving our forecast for commercial and then finally on industrial, we believe there’s going to be about a 2% increase in the U.S. industrial production output index and so that’s what’s driving our roughly 2% increase in sales to large commercial and industrial.
Gale Klappa: Dan, that includes the furlough time that the governor is expecting you to take.
Dan Jenkins - State of Wisconsin Investment Board: Yes, I’m well aware of that. Finally, I was kind of curious on the 3.3% rate increase for the electric, is that in addition to the bill credits running off from the nuclear plant sales, so will the actual increase be larger? How does that work out?
Gale Klappa: The calculation of the bill credits is completely separate from that number. So basically if you take the actual rates that were in effect in ‘09 and add 3.5%, that is what we were saying the calculation is. Then obviously, the remaining bill credits are then applied to the customer’s bill from there.
Dan Jenkins - State of Wisconsin Investment Board: How much of those bill credits still are left to distribute?
Alan Leverett: I would say about $190 million is left.
Gale Klappa: Somewhere between $180 million, and $190 million.
Alan Leverett: Those are essentially all Wisconsin jurisdictional. There was about $2 million worth of credits that we gave in Michigan in January. The FERC is done, and then the FERC jurisdiction all is done and all the rest go to Wisconsin customers.
Dan Jenkins - State of Wisconsin Investment Board: So then that will pretty much run out at the end of 2010, will it be completed?
Gale Klappa: Assuming that energy sales come in at about our forecast, then all of the bill credits would run out, yes, at the end of 2010.
Dan Jenkins - State of Wisconsin Investment Board: So how does that original, what was it, 17% increase get implemented then? Is there an increase still set to be put in place related to that or how does that work?
Gale Klappa: Again, it can be somewhat confusing, but if you look at the actual rate that’s in place, the full amount that you’re talking about is now baked into the rates. The customer will feel some more of that increase as the bill credits roll down.
Alan Leverett: There’s not an additional regulatory action that has to occur.
Gale Klappa: Exactly.
Dan Jenkins - State of Wisconsin Investment Board: So the customer impact will probably be higher than the 3.3%, because the bill credits will be less this year? Is that what you’re saying?
Gale Klappa: You’re exactly right, and we would call that the bill impact as opposed to the actual rate calculation, but the bill impact will be greater than the 335, but again, that’s because of the slightly smaller Point Beach bill credits this year that then fully roll off by the end of the year.
Operator: Your next question comes from Jay Dobson - Wunderlich Securities.
Jay Dobson - Wunderlich Securities: I had this question keyed up to say you hadn’t talked about Point Beach, in a while, but here you talked about it with Jay and just the question before me, but separate question on it. I know FPL is planning an up rate outage, which will be a bit longer than a normal refueling outage. I was wondering if you could remind us, how that will impact you from a cost perspective, thinking about it in the context of a fuel and purchase power recovery as it stands now and then what it may change under the legislation?
Gale Klappa: The short answer is, under our contract with FPL, they have the right to replace that energy, if they wish to go out in the wholesale market and buy it. Given the wholesale prices in the MISO market, that’s exactly what FPL did this year. If you look at where wholesale prices are in the MISO market, they may well do that again, but I would say this, our anticipation of what may occur is already baked into our forecast.
Jay Dobson - Wunderlich Securities: You’ve baked in they just recently delayed that from ‘10 to ‘11. So that’s sort of reflective and I guess it really doesn’t impact you so long as you assume they replace that power?
Gale Klappa: That is correct. Or that we could go out and replace it at what we project the rates to be, either way.
Operator: Your next question comes from Paul Ridzon - KeyBanc Securities.
Paul Ridzon - KeyBanc Securities: You talked about your attracted capital opportunities. How do you think about financing those with your dividend aspirations?
Gale Klappa: Well, our financing plan is designed essentially to be able to move forward with the capital expenditures and the capital projects that we’ve described to you and with the dividend payout ratio that we’ve also described to you. So we worked very hard to put the pieces of the puzzle together to make this work in a way that we would have a very minimal net increase in debt compared to total capital and no need to issue any additional equity. Alan.
Alan Leverett: No, I wouldn’t add anything. That’s a very good qualitative description of what we’re trying to carry out.
Paul Ridzon - KeyBanc Securities: What should we look at rate kind of base trajectory until 2015 to look like?
Alan Leverett: Well, I mean we’re looking at, when we talked about earlier in the questions, we talked about $800 million worth of regulated CapEx this year, and we talked about $1 billion in 2011. I believe depreciation is about $300 million at the utilities. So that would be $600 million of depreciation over two years, $1.8 billion of capital. So that would be another $1.2 billion of rate base on top of the $5.8 billion that we’ve got today. So I mean that sort of gives you a general feel over the next two years, but the spending, Paul, obviously very, very heavy the next two years.
Operator: Your final question comes from Michael Lapides - Goldman Sachs.
Michael Lapides - Goldman Sachs: How do you think about your sensitivity to every percentage change in demand?
Gale Klappa: Alan has a precise answer for you, Michael.
Alan Leverett: Michael, it might be useful, if you have the earnings package, turn to page 12. So what we’re saying, our 2010 forecast level of sales versus 2009 normalized, you see we’re saying about a minus 0.4%. So let’s just assume to take your hypothetical if instead of minus 0.4% let’s say we grow six-tenths of %, so a full percentage point better than our forecast. Just assume that just goes equally across the classes, a one third. So we would be looking at about a $16 million improvement in pre-tax margins for that 1% move. Now Michael, half of that would come from residential, because that’s higher margin obviously, and then about $6 million would be from commercial and then $2 million from industrial, so that gives you the $16 million pre-tax margin. Does that help?
Michael Lapides - Goldman Sachs: Last thing, when you look around at your neighbors and look around just in the state and what is likely to be environmental policy coming out of Uncle Sam, who knows when, two, three, five years not really for carbon, but for SOX and mercury, how much of an impact for the state do you expect to see in terms of coal plant retirements?
Gale Klappa: The Wisconsin Commission has a docket opened right now, where each of the utilities is supposed to submit data on potential future requirements of fossil fuel plants. I can’t really speak for Alliance, but I can speak or WPS, but I can speak for us, and Rick actually alluded to this point earlier. We are very far ahead of the curve on the traditional pollutants, given the modern advanced emission controls that we’re putting in place. Remember we just did a huge upgrade that we completed a couple of years ago at our Pleasant Prairie plant, which is a very large coal fire powered plant that came online in 1984, and that now has all of the moderate emission controls. The existing Oak Creek units will have all of the modern emission controls online by 2012, by the end of 2012. Obviously the new Oak Creek units are in great shape. So from our standpoint of our base load coal fleets, we’re in very good shape.
Rick Kuester: I might add we’ve retired coal units over the last few years associated with Power the Future. We’ve just retired two units at Prescott at the end of last year. That brings us to five units up there where we used to have nine units. We retired five units at Port Washington 70 year old coal plant. So again I think we’re a little ahead of the curve in that we retired some of our older units and controlled units where it makes sense to control them.
Gale Klappa: I don’t see us having really any significant risk in the next five years.
Michael Lapides - Goldman Sachs: When you look at power prices and forward curves in your region, does it make sense for someone who hasn’t already contracted to scrub a plant to actually do so now?
Gale Klappa: It depends so much on the heat rate. It depends so much on the condition of the plant, the coal source of the plant, and where that plant sits in terms of its contribution to VAR support and voltage support. The other thing I was mentioning to someone just this morning. It’s easy to sit and think about, well, here is an older plant let’s retire it, but you have to think about what functions does that plant provide on the network. For example, we have an older plant, which we call the Valley Plant, which is just south of downtown Milwaukee. Well, that’s an older plant, it burns coal, but, it provides steam to virtually every downtown Milwaukee building. Retiring that would be a real problem. It provides significant voltage support for the downtown Milwaukee demand pocket. So it really is a case-by-case analysis, and as we’ve done our case-by-case analysis, we feel quite good.
Gale Klappa: I believe that concludes our conference call for today. Ladies and gentlemen, I’ll thank you again for participating. If you have any additional questions, your favorite Colleen Henderson will be available in our Investor Relations office and her direct line is 414-221-2592. Thank you again.